Operator: Good day, and welcome to the Remark Holdings Fiscal 2023 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note, today's event is being recorded. I would now like to turn the conference over to Fay Tian. Please go ahead, ma'am.
Fay Tian: Thank you, Rocco. Good afternoon, everyone and welcome to Remark Holdings fiscal 2023 financial results conference call. I am Fay Tian, Vice President of Investor Relations for Remark. On the call with me this afternoon is Kai-Shing Tao, Remark's Chairman and Chief Executive Officer; and Mr. Todd Brown, Vice President of Finance. In just a moment, Mr. Tao will provide an update on our businesses and Mr. Brown will recap our 2023 financial results. Following these remarks, we will open the call to questions. But before I turn the call over to Mr. Tao, I would like to take this opportunity to remind you that some of the statements made today may be forward-looking statements. These statements involve risks, uncertainties and other factors that could cause actual results to differ materially from those expressed or implied by these forward-looking statements. Any forward-looking statements reflect Remark Holdings' current views and Remark Holdings expressly disclaims any obligation to update or revise any forward-looking statements after the date hereof. This disclaimer is only a summary of Remark Holdings' statutory forward-looking statements disclaimer, which is included in full in its filings with the SEC. I will now turn the call over to Remark's Chairman and Chief Executive Officer, Mr. Tao, so he can provide additional information on Remark's businesses and recent developments. Shing, please.
Kai-Shing Tao: Thank you for joining the call. Our most important achievement in 2023 was setting the groundwork for 2024 and beyond. The primary highlight was the signing of our business partnership with Microsoft. Up until this point, our sales efforts have been mostly direct. However, that has changed and that is due to the value proposition that the Remark AI platform has brought to the table. It took almost 18 months of due diligence on our platform and we are now honored and excited to be able to leverage with Microsoft, the thousands of sales teams to market our solutions to their enterprise customers. This collaboration allows Remark to rapidly broaden its sales and marketing with the Microsoft Azure marketplace, providing institutional credibility for prospective IT department's approval as well as the rapidly scaling Remark AI's inference and training models. The five-year agreement is expected to drive $240 million of AI business for Remark by 2029. With all the hoopla on AI, I want to clarify on how we are positioned. Right now, AI is all in the press but most typically, it's about generative AI or large language models. At Remark, we have been doing generative AI since 2017. However, we felt back then, as we do now, that it's a tough business proposition. Cool technology does not mean people will buy your product in a profitable manner. The open secret, as they say is that in generative AI, everyone is copying each other and therefore will result in the disastrous war. At Remark, while generative AI is the future we provide, our strength and focus is on computer vision and the building of large vision models which in turn leads to our core platform of multimodal models as a service. In 2023, we launched our first SaaS AI platforms, first large vision model business application, the large vision model, Smart Construction. Fast AI platform is a few shot training framework based on our large vision model, a large computer vision in semantic multimodal model. The release version is its $34 billion parameter model with the proprietary dynamic prototype fusion network. It is designed to address limited training samples and complex environmental problems in various industries and has achieved extremely high performance with Microsoft COCO data set for complicated object detection and segmentation. The large vision model, otherwise known as LVM, Smart Construction Product has learned federal, state and industrial level safety, quality and environmental protection guidelines and SOPs as well as OSHA laws. It can autonomously perform safety, quality and environmental check-through video streams from fixed security, surveillance, cameras and wearables, i.e., 360-degree cameras hard head mounted GoPro cameras. It is specialized for worker safety, hazard risk management, meaning fire, collision and traffic, equipment operation safety, environmental safety, construction progress estimation and quality checks. It is even powerful enough to allow for new and updated SOP and rules to take effect as soon as they're updated. It provides construction business intelligence by real-time video analytics and autonomous work logs. Currently, the product is being customer tested at one of the largest construction projects in the world located in Saudi Arabia. Starting in Q4 2023, working with our cloud partners, our smart safety platform, SSP is being upgraded to a cloud-based global SaaS platform with guaranteed scalability in mission-critical processing capabilities. The SSP covers public safety applications like access control, cloud safety management, fire and smoke, real-time alerts, weapons detection, terror envision, fighting and unattended object detection. Enhanced with our LVM, our SSP is being used with various levels of public safety agencies in the United States, in the United Kingdom. But what is multimodal. Multimodal models can process a wide variety of inputs, including text, images and audio, as prompts and convert those prompts into various outputs, not just the source type. I give you two examples of what Remark AI does. We recently announced our large multimodal model, an AI-powered aviation safety platform called ASP. Remark AI developed ASP to safely reduce inspection times associated with aircraft engine maintenance as well as provide anti-collision tools for aircraft towing and other functionalities, all while improving the collection and reporting of essential performance data in a multimodal format. Given the recent safety and inspection failures and supply chain disruptions experienced by Boeing and its airline customers, there has never been a better time to utilize AI to improve safety performance. The ASP uses a large multimodal model to provide several functionalities included in three essential components on engine inspection kit, an aircraft towing anticollision system and a large multimodal model for business intelligence and reporting. The portable aero engine inspection kit detects damaged aircraft engines, including damage such as combustion chamber erosion, tear detection, blade curl, ablation, dimples or pits, lap wear and misalignment. Upon recognizing such damage, the AIK evaluates for severity and automatically generates an inspection report with detailed images, thereby reducing staff workload and inspection times from days to approximately 30 minutes, allowing for real-time preflight inspections before takeoff. The towing anticollision system, TACS provides aircraft towing operators with functionalities that look for warn of and thereby potentially prevent accidents. The system helps those towing airplanes to avoid obstacles by utilizing the cockpit screen to provide a real-time three-dimensional view of the aircraft's travel path, a dynamic environmental status and potential collision warnings. The functionalities include collision prediction, speed monitoring and detection of abnormal driving and it incorporates LIDAR to provide comprehensive coverage under all weather conditions. The Aviation Industry Business Intelligence Reporter is a powerful AI system that analyzes massive business data, files, photos, videos and other files and then provides valuable business intelligence. The system allows for data processing, predictive analysis, semantics search and statistical analysis, and it provides intelligent recommendations that allow for process improvement in many aspects of aviation operations. We've already launched a similar platform like this, but for trains, subways and railways, and we are soon to launch our Remark AI multimodal safety platform for marine and sea safety as we have significant potential customers in the Middle East and South America. Our pipeline continues to be very strong and is only getting stronger. With our recent win at the Clark County School District, which is top five largest in the United States, it has set us up well for other large school districts across the U.S. In addition, currently as we are targeting the U.S. domestic security market, there are 100 million domestic security cameras and 200 million global cameras, excluding China that do not provide intelligence or AI real-time analytics. Assuming a base case of $1,200 annual stream per camera to empower it with AI analytics, this represents a $360 billion total addressable market. With that, we believe we are well positioned and in the final stages to win a large security contract with over 100 migrant centers. Walking you through the numbers to show how quickly this business can sail in just this industry alone. We generally sell six solutions, which we charge $100 per solution. One, violence detection; two, facial recognition; three, weapons detection; four, slip, trip and fall; five, fire and smoke detection; and six, intrusion detection. So if you multiply $100 times six, that's $600 a month, times 12, which equates to $7,200 a year. $7,200 a year times 100 cameras, which is the typical amount of cameras located in each migrant center equates to $720,000 -- $72,000 a year. And with 100 migrant centers, that equates to $72 million a year. This is an exciting day here as the revenue is all software and does not include our hardware revenue, which still generates approximately 50% gross margin. I hope this is a strong example of what we see for Remark AI in 2024 and beyond. Todd?
Todd Brown: Thank you, Shing, and thank you to everybody for joining us on the call today. Our revenue for fiscal year 2023 totaled $4.4 million, reflecting a decrease from the $11.7 million we recorded during fiscal year 2022. The revenue we recognized during 2023 resulted primarily from additional installations of our Smart Campus solutions and our Smart Construction solution in China. We did also complete certain projects during 2023 worth approximately $1.4 million, but the agreement with our new customer did not meet requirements for revenue recognition on an accrual basis so we only recognized an immaterial amount from such agreement in 2023, but we expect to record the remaining amount as revenue in future periods. Overall, our project completion slowed in China initially due to the slow economic recovery efforts after the COVID-19 pandemic related restrictions lifted at the end of 2022 and then as political tensions increase between the U.S. and China. Though we were able to have some moderate success earlier in 2023, the economic conditions and the political tensions made it more difficult than expected for us to complete projects on a steadily increasing pace. Our operating loss of $17.2 million during the fiscal year 2023, reflected a decrease of $4.1 million from an operating loss of $21.3 million during fiscal year 2022. In addition to recording less revenue during 2023, our cost of revenue decreased $8 million primarily in conjunction with the decrease in inflation in China and also because cost of revenue in 2022 included $1.3 million of inventory obsolescence that did not recur materially in 2023. General and administrative expense decreased by $5 million as bad debt expense, legal and professional fees, certain business development costs and stock-based compensation all declined during 2023. Partially offsetting the decreases in cost of revenue and in general and administrative expense were increases of $1.3 million and $0.4 million, respectively in asset impairments and sales and marketing expense. We are reporting a net loss of $29.1 million or $1.74 per diluted share during fiscal year 2023 compared to a net loss of $55 million -- pardon $55.5 million or $5.22 per diluted share during the fiscal year ended December 31, 2022. Our net loss decreased primarily because we reported a $26.4 million loss on investment during 2022, whereas we did not maintain investment assets during 2023 and therefore, did not record any gain or loss on investment in 2023. The decrease in our operating loss described above and partially offset by a net effect of $1.8 million of decrease in interest expense, which resulted from less debt principal outstanding and a decrease in debt fee and debt discount amortization and a $6.3 million increase in finance costs, which was related to our issuance of additional convertible debentures and draws on an equity line of credit pursuant to our agreements with Ionic Ventures LLC. As of December 31, 2023, cash balances totaled $0.1 million, which compares to cash balances of less than $0.1 million on December 31, 2022. Net cash used in our operating activities during 2023 was $10.5 million. With that, I'll turn the call over to the moderator to begin the question-and-answer portion of our call.
Operator: Thank you. Before we begin, I believe Shing Tao has another comment they'd like to make before the Q&A.
Kai-Shing Tao: Yes, I just wanted to clarify the numbers. It is $72 million a year just for this one contract. Again, walking through the numbers, it's $100 a solution. which we have six of them, so that's $600 a camera times 12 months, which equates to $7,200 a year. Typically, each one of these migrant centers have 100 cameras. So 7,200 times 100 is $720,000 per migrate center times 100 migrant centers, which equates to about $72 million a year. Okay. Great. Moderator?
Operator: [Operator Instructions] At this time, this concludes your question-and-answer session. I'd like to turn the conference over to Fay Tian for closing remarks.
Fay Tian: Thank you, Rocco and thank you, everyone for participating in Remark Holdings fiscal 2023 financial results conference call. A replay will be available in approximately four hours through the same link issued in our April 4 -- sorry, April 8 press release. Have a good afternoon. Thank you.
Operator: Thank you. This concludes today's conference call. We thank you all for attending today's presentation. You may now disconnect your lines and have a wonderful day.
End of Q&A: